Operator: Good morning, everyone and welcome to the fourth quarter 2009 earnings release call of Everest Group Limited. (Operator's Instruction) At this time for opening remarks I would like to turn the conference over to Ms. Beth Farrell, Vice President of Investor Relations. Please go ahead ma'am.
Elizabeth B. Farrell: Good morning and welcome to Everest Re Group's fourth quarter and full year 2009 earnings conference call. With me today are Joe Taranto, the company's Chairman and Chief Executive Officer, Ralph Jones, President and Chief Operating Officer and Dom Addesso, our Chief Financial Officer. Before we begin I will preface our comments by noting that our SEC filings include extensive disclosures with respect to forward looking statements. In that regard I note that statements made during today's call which are forward looking in nature, such as statements about projections, estimates, expectations and the like are subject to various risks. As you know actual results could differ materially from our projections or expectations. Our SEC filings have the full listing of the risks that investors should consider in connection with such statements. Now let me turn the call over to Joe Taranto. 
Joseph V. Taranto: Thank you Beth, good afternoon everyone. Looking back at 2009, we're pleased with what we achieved. Most notably we were able to increase our worldwide premium base by 12% to $4.1 billion. As we capitalized on market dislocations and property rate increases created by the financial meltdown from late 2008. Our successes included a great start for our new office in Brazil, growing our international books on attractive accounts which was aided by some of our major competitors having financial problems, maintaining a leadership position in the retro property market and the Florida property market, maintaining our core casualty reinsurance clients starting a new insurance operation to respond to the future need for a financial institution directs and officers liability, and adding a new insurance program for smaller financial institutions. Looking forward, I was pleased with our January 1 renewals and the quality of our portfolio remains very strong. This comes despite catastrophe excess rates being somewhat lower, and a continued slow decline in casualty insurance rates. Let me explain why. First, much of the momentum we had in the international reinsurance sector, including the development of our presence in Brazil, continued in 2010. Further, on our U.S. property reinsurance portfolio, we added a couple of new meaningful single state accounts that although CAT in nature didn't add to our largest zone. Hence more premium and more spread. Much of our worldwide property reinsurance book is done on a pro rata basis, not excess of loss, and accordingly not impacted by excess of loss catastrophe rate changes. This includes most of our business in Florida as well. And although the foreign treaties renew mid-year, our clients have recently been given permission by the insurance department to charge higher rates. On our pro rata accounts, these increases will inure to our benefit as well, increasing our premium and our potential margin. Our casualty reinsurance book is half of what it was a year ago, as we have responded to rate changes in the market. Our reinsurance book has switched from predominantly casualty in 2004 to predominantly property in 2010. We have taken the casualty book down to a few core clients who we know well and we believe in their ability to manage through the current market place successfully. Our insurance book is mostly casualty, but roughly half the book is either workers comp or D&O and E&O for financial institutions. In bot of these areas we are currently getting rate increases. We will need to remain disciplined in parts of the casualty insurance market that continue to be challenging. Ralph will provide more details on 2009 and 2010 underwriting activities in a moment. In 2009 we were also pleased to have grown book value per share by 27% and finished the year with $6.1 billion of surplus. In addition we paid $117 million in dividends for the year. The company repurchased roughly $100 million of it's shares in the fourth quarter and $190 million for the year To company has more than sufficient capital for it's current business plans and expects to continue to buy back stock in the first quarter. Under the current repurchase authorization 3.5 million shares remain. Dom will provide more details on the financial's momentarily. In summary, 2009 was a very good year, top line and bottom line. Given the successful (inaudible) renewal, we expect growth in our international reinsurance book which is mostly property reinsurance and growth in our U.S. property reinsurance book. All without increasing our PML in our biggest zone. These two areas have been our most profitable and most well rated. We will take a disciplined underwriting approach to our casualty business, both insurance and reinsurance. And without a market correction, these sectors will likely decrease. I expect our overall worldwide composite portfolio to remain high quality so I have every reason to expect 2010 to be a good year. Ralph?
Ralph E. Jones III : Thank you Joe. The international reinsurance business was a very strong driver for both growth and underwriting profits in 2009. We wrote $1.08 billion last year up 20% in U.S. dollars and up 23% when adjusted for local currencies. The combined ratio was 86%. The Brazil operation was essentially new this year, adding $68 million in 2009. Canada at $163 million and Asia at $222 million both grew at 17%. Some of the growth came from increased rates for catastrophe exposed business in the 5% to 7% range during the year. About 60% of our international book renews in the first quarter, predominantly January 1. We had a strong renewal season in January with premiums up 14% driven equally by increased rates, some new business and increased signings. Primary property rates were up in South Africa and Australia.  The U.S. reinsurance business finished at $1.17 billion up 22% over 2008. The growth here was principally driven by the addition of our crop reinsurance business which added $85 million during the year. The combined ration was 76.8% for the year drive virtually by no CAT loss activity. The largest segment within U.S. reinsurance is our treaty property book, which was a strong driver in of the growth in underwriting profit. About half of our U.S. reinsurance book renews on January 1, and we were happy with the stability of the market at 1/1. CAT rates for the bulk of our book held up pretty well at renewal with an overall impact in the range of -5%.  We were able to fill out the treaty property book with several new state programs that have good pricing margins but do not add to our peak's on aggregate cap exposure.  The casualty reinsurance book was down at year end, except for one long time client that moved from an excess of loss program to quarter share. This was done principally for reasons of surplus relief for them.  The year end renewal negotiations for treaty casualty again, half the book renews at 1/1 were more challenging across the board, which leads me to expect this book to be down for 2010.  The Bermuda operations which include the UK and Continental Europe wrote nearly $800 million in 2009. About the same volume as last year in U.S. dollars and up 6% in local currencies. The combined ratio for the year was 89% which includes $29 million in CAT losses mostly due to the earthquake in Italy.  Nearly 80% of our Bermuda and European reinsurance book renews during the first quarter. We saw more competition in Continental Europe at year end, as well as with the property retro market. We eliminated 70% of our aggregate exposures for the Bermuda property retro account due to increased capacity available to the brokers principally from new participants. From those accounts we renewed the average rate drop was about 5%. Many retro clients had clearly demonstrated increased exposures in their underlying book that we thought was not adequately reflected by some of the new players in the segment.  The U.S. retro account was more stable as contrasted with Bermuda I expect Continental Europe to be down in 2010 and London to be about flat with the total Bermuda operations to be down modestly for 2010.  The specialty segment was $235 million, down 10% for the year and 23% for the quarter. The combined ratio in 2009 was 104% driven mainly by the marine book. Several large quarter share marine contracts reported late claims during the renewal process. Two thirds of the marine book renews during the first quarter and based on the difficult negotiations at 1/1 we expect the book to be substantially down for 2010. I am not excited about the profit potential in the marine market. Accident and health insurity which make up the balance of our specialty lines were both profitable and growing. That sums up a very good year for the reinsurance business. $3.3 billion up 13% at 85% combined. Year end renewals were pretty strong. In 2010 I expect international will be up, treaty property will be up, casualty will be down and marine will be down. Now let me turn to our primary insurance business, Everest National.  The insurance segment ended the year at $843 million, up 9.2% over 2008. The growth came principally from our direct insurance operations in ENS property and E&O and D&O for financial institutions. The direct business now makes up 20% of our insurance business and will become an increasingly large share over time. The combined ratio for the year was 109.9% which included a $45 million charge in the fourth quarter due to a comprehensive reserve study at year end. The underlying casualty market in the U.S. is very competitive, probably the most challenging environment in which we operate. The eight core program managers that we support which makes up the other 80% of our insurance book, all faced declining renewal retentions as we execute our rate plans. Combined ratio for the 2009 accident year at 101% shows we still have work to do on our program book. For the fourth quarter rates were up 5% overall with the bulk of those increases coming from California workers comp, whose prospects are improving. I expect our core eight program managers to be down next year as we continue to drive rate improvement. We will also need to continue the belt tightening on expenses and commissions to meet our objectives. Our strategy here is pretty simple. Maintain the core eight program managers, increase rates by at least 5% on average and improve the expense ratio at the same time. Anything new will come from an acquisition of a specialty company, or MGA that can demonstrate a competitive advantage on the requisite margin that follows.  With programs declining, I expect the direct specialty business to become a bigger and bigger proportion of our insurance business over time. Let me now turn it over to Dom Addesso. 
Dominic J. Addesso: Thanks Ralph and good afternoon. As noted earnings for the quarter continued the favorable trend experienced throughout the year The comparisons of net income to the prior year results for both the quarter and year to date are quite dramatic, due in large part to the after tax realized capital losses of $196 million in last years fourth quarter and $581 million for the entire year of 2008. These losses were a result of the financial market crisis, as securities were adjusted to fair value or sold. Operating income for the year excluding realized capital losses on the other hand increased to $12.51 per share compared to $9.10 per share in 2008. This year over year comparison was largely influenced by $364 million of CAT losses in 2008 versus $67 million in 2009. On a quarterly basis, operating earnings per share increased 9% to $3.19 compared to $2.92 in 2008. You just heard from Ralph the details on premiums by segment, but overall the increase in gross written was 14.8% for the quarter and 12.3% for the year. The impact of foreign currency on premiums was not significant for the quarter but for the year premiums increased approximately 14% after adjusted for foreign currency, due to the weakening dollar. Premium (inaudible) for the year of $3.9 billion produced an underwriting gain of $407 million compared to $162 million in 2008. On a quarterly basis the underwriting gain of $85 million in 2009 compared to a gain of $150 million in the prior years quarter. These underwriting results were driven by several factors. In both the quarter over quarter and year over year comparisons, there was an improvement in the commission and brokerage ratio of 2.8 points and 1.4 points respectively. This was primarily due to improved seating commission terms on reinsurance contracts and reductions in profit share on certain insurance contracts. While the underwriting expenses rose slightly, a staff was added to build out our financial institutions business. Another factor in the analysis of underwriting results was the development of prior year losses. During the quarter we added $92 million to our reserves for prior year attrition losses which amounted to 8.9 points on our loss ratio for the quarter. Year to date we added $125 million or 3.2 loss ratio points. The development activity in the fourth quarter was the result of our annual loss reserve detailed analysis which indicated a need to add approximately $49 million to reserves in the insurance segment. This along with actions earlier in the year added approximately 9 points to the combined ratio in that segment for the year The balance of the reserve addition of $43 million in the quarter was in our reinsurance book, in both the domestic and international property lines where we experienced a higher than expected level of late reported losses from a small number of contracts, but offset by some favorable development in the casualty book overall. Also affecting the year over year comparison of underwriting results were CAT losses. CAT losses in 2008 represented almost 10 points or $364 million of loss in 2008 whereas in 2009 the CAT losses were $67 million for the year or 1.7 loss ratio points. Excluding CAT losses and prior period development, the accident year loss ratio has increased to 56% in 2009 from 55.5% in 2008. The increase is largely evident in the insurance portfolio where the accident year loss ratio has risen to 71.5 from 68.2. This is a reflection in general of a softening market particularly in the casualty lines. In the reinsurance segment the current accident loss ratio was up, but only slightly. Since this portfolio is dominated by property business, where rates in certain markets and products have been firmed. Reinsurance segments overall had a strong year, exhibiting an accident year combined ratio excluding CAT's of 80.7%. The overall combined ratio on an accident year basis excluding CAT's for the year was 84.2%. And these results produce very favorable cash flow from operations, $785 million for the year and $186 million for the quarter. Turning to the investment results, you will note that core investment results are down slightly year over year, but up dramatically on the quarter comparison. First the year, which is down $18 million to $548 million. This is mainly attributed to lower yield available for new money as well as what we had invested in our short term accounts where yields have been at historically low levels. As a result funds in short term instruments have been reduced over the prior year end. Overall the yield on our fixed income portfolio has increased 27 basis points. Offsetting this was a reduction in the loss from limited partnerships, or a $23 million improvement. And while we did have less income in 2009 from equity securities due to sales in 2008, these proceeds were moved into fixed income securities and had minimal impact on the year to year comparison. The quarter over quarter comparison is much different, although driven by the same factors. Net investment income for the fourth quarter rose to $146 million from $75 million in the prior year. The largest factor was a swing in limited partnership income to a gain of $10 million in 2009 from a loss of $73 million in 2008. In terms of our shareholders equity account, the book value has grown to $6.1 billion, or $102.87 per share up from $80.77 per share at the prior year end and $100.75 at the end of the third quarter. The increase in our book value from earnings was of course impacted by the normal shareholder dividends but also other comprehensive income. In the fourth quarter there was approximately $46 million of unrealized loss after tax from our bond portfolio flowing through other comprehensive income. On the other hand, for the year there was an increase of $530 million after tax coming from the bond portfolio. As a result the overall value of our fixed income portfolio is approximately $400 million above amortized cost. The majority of the remaining change and other comprehensive income is derived from translation adjustments which were a decrease of $120 million for the quarter but an increase of $84 million for the year as the dollar weakened for most of the year but rebounded slightly in the fourth quarter. The final factor affecting the equity account was our share repurchases during the year which in 2009 amounted to $190.6 million at an average price of $80.65 per share. This was of course accretive to our $13.22 per share earnings and our $102.87 book value per share and added positively to our 15% return on equity. With that I will turn it back to Beth for the Q & A.
Elizabeth B. Farrell: Caitlin we are ready for questions.
Operator: Thank you. (Operator's Instructions) And we'll take our first question from the line of Brian Meredith from UBS. Please go ahead. 
Brian Meredith - UBS : Good afternoon. A couple of questions here. The first one, I think on the primary business when we look at the reserve increase there. I guess the question is what is now the loss trend assumption that you're assuming in that – I guess it's the contractors book of business? It's like loss cost inflation because obviously when you took the reserve charge - 
Ralph E. Jones III: Let me explain the reserve – you know, we do our reserve review of course every quarter but we do a more comprehensive one at year end, and we decided to strengthen the reserves for the insurance company quite substantially at year end as you can see. This came principally from two run off programs that ended back in 2007, so I'm kind of happy to get those behind us and strengthen our reserve position so as we head into a softer market we'll be fully reserved so to speak.  You know the accident year run rate for the insurance group we moved up three points as you can notice from 2009 from Dom's commentary - 
Dominick J. Addesso: I think it's 68-71 on the loss ratio. 
Ralph E. Jones III: On the loss yeah, so that moves up to combined right over 100, so that's where we see the book is today, so what we need to do is to continue that rate increase and the belt tightening that will improve the overall combined for the insurance group which we're confident we can do.
Brian Meredith - UBS : And how did the professional liability business do this quarter? 
Ralph E. Jones III: Extremely well. So – you know the direct business which is the biggest component as our D&O and E&O business and also the property business in Florida was also combined under 90. 
Brian Meredith - UBS : Okay, excellent. And then on the Florida business, Joe, you talked about rate increases and how that should positively affect that business. What about wind credits, how could that factor into your quote of share business?
Ralph E. Jones III: Yeah, the wind mitigation credits that the Florida companies have had to endure over the last couple of years are kind of in the results or in the book. What's really changed there is the kind of overall attitude or orientation of the insurance department because a year ago they were forcing these guys to be more and more competitive and now with concerns about solvency of some of the Florida companies they're kind of taking the opposite tact and they're granting 15% rate increases pretty much to anybody who asks for one. So on our largest client they were granted a 15% rate increase in October and that really should not only take care of some of the credit issues but also as you go into 2010 will look pretty good.
Joseph V. Taranto : Yeah, for our bigger clients as Ralph noted we got the 15%rate increase which kind of works to our benefit. The wind mitigation credit is something that the department is still tackling. I think there's a lot of agreement that there's been abuse in that system and I think there will be changes going forward that will also help the companies in terms of generating a better result into the future. Little unclear just how much that will be at this stage of the game. But the rate increase, 15% that's just clear and being applied to all policies. 
Brian Meredith - UBS :  Great. Thank you. 
Operator: We'll take our next question from the line of Jay Gelb with Barclays Capital. Please go ahead. 
Jay Gelb - Barclays Capital: Specialty Re seems to be another challenging segment. Can you tell us a little about what was going on in the fourth quarter there? 
Ralph E. Jones III: Jay, this Ralph. It's principally the marine business. We had a couple of large contracts quoted shares that did not perform well, came up for renewal at 1/1 and we were not able to come to an agreement on the negotiations for each of those so that was the center of my conversation in the report, which was that marine results and what that's going to mean for a drop in revenue in that area for the next year 
Joseph V. Taranto: The other components of the specialty the accident and health insurity did perform in fact quite well. 
Jay Gelb - Barclays Capital : So the loss issues especially on an accident year basis were driven by the marine book? 
Ralph E. Jones III:  Correct.
Jay Gelb - Barclays Capital : Ralph, if you put all your comments together in terms of the moving pieces within the franchise, did it still lead you to roughly – and now with a roughly flat-ish premium growth in 2010 overall? 
Ralph E. Jones III: For the entire organization?
Jay Gelb - Barclays Capital : Yes.
Ralph E. Jones III: I would say it would probably be up in the single digit range. 
Joseph V. Taranto: Yeah, it's hard for us to guess exactly and 1/1 certainly isn't the entire year. Maybe up a bit. But you know, flat-ish is probably the best take away. Some parts will be up mostly property, some parts will be down, mostly casualty.
Jay Gelb - Barclays Capital : Okay. And then for Dom, the link quarter core investment income, around $146 million in the quarter was down almost $20 million from the third quarter? What was driving that?
Dominic J. Addesso: Well a big part of that was the decline in a limited partnership income, primarily public equities with limited partnerships that are invested in public equities. Probably lag effect and since the third quarter we've sold out some of our public equity exposure in a limited partnership space. 
Jay Gelb - Barclays Capital : Okay, and then on the share buy backs with the stock trading slightly below 80% of book. I'm just wondering, do you have any updated thoughts in terms of how fast you'll do the buy back here?
Dominic J. Addesso: Well, again you know we're not going to provide forecasts but clearly we're going to be in the market. We're keen to get into the market as soon as the window opens and we're going to be buying back in the first quarter a reasonable amount. 
Jay Gelb - Barclays Capital : Okay, thank you.
Operator:
Matthew Heimermann - J.P. Morgan: Good afternoon everybody. I guess a couple questions. First, just on the reserve increases, can you talk about just how the process of reviewing reserves is the same or different relative to prior years given obviously some of the people on the phone have changed over the last couple of years?
Dominic J. Addesso : Well, let me explain the process. I;m not sure I can describe completely how it differed from prior years other than maybe a little bit of timing. I obviously came on to the organization in May and there had been previously I guess in prior years some detailed reserve reviews done - partly detailed reviews done at interim quarters. We elected to have a full reserve review done in the fourth quarter which is what gave rise to the adjustment that we just talked about before. But in the intervening quarters we do a fair bit of work as well. We monitor how our losses are performing relative to expected. So constantly monitoring actual losses up against expected losses in many of our segments and what we call reserving groups, if you will. So that is a continuing process throughout the year, but the annual detail or the detail reserve study which was in prior years split into two different quarters we conduct it all in the fourth quarter. 
Matthew Heimermann - J.P. Morgan: Is the by-product of the kind of the change in the quarterly monitoring – is it fair to think that that in future years probably means that the 4Q review will probably be less impactful in terms of the total change to the reserving amount? 
Dominic J. Addesso: I'm not sure why it would be less impactful but we are actually looking or I'm looking at how we might conduct these reserve studies going forwards into future periods. In fact, moving the dates upon which we examine losses closer to the evaluation date which would give us a better answer and a more timely answer. So there's a number of things that I'm looking at that – in fact may have the reserve study moved back to throughout the year back to a moving calendar. But let me be clear, I think that whether we do the reserve study – the detail reserve study if we split it up into two quarters or do it all in one quarter does not lessen my conviction about where I think reserves are or the process here. I think the process here – the adjustment that we made in the fourth quarter on an overall basis relative to $8 billion in reserves is well within the bounds of reason and I still feel very strongly about our overall reserve position and it's readableness and certainly how – the conservative stance that we're taking here at the end of the fourth quarter. 
Matthew Heimermann - J.P. Morgan: That's fair. And I guess this might be unfair but from an external perspective clearly reserve additions has been kind of a struggle over the last four years in total and it stands in a bit of contrast to the trends that other companies are reporting. I guess – what are you seeing internally that you could maybe communicate externally that makes you feel like you're on top of the issues that have been driving these increases?
Dominic J. Addesso: Well, let me first say that that's something that I fully expect and am working hard to put behind us and I think that what we've done here in the fourth quarter is - will do just that. So that lets me be clear on that point. And I think there's another element to it. There's also current accident year. And so while you're examining – paying a lot of attention to prior period reserves, as we should then as we did at the end of the fourth quarter, we also need to be sure that we've got a good and adequate and conservative loss pit of the current accident year. So that doesn't become a prior period adjustment into the future. So that's the other element of this which I feel quite strongly that we've taken good steps in that regard. 
Matthew Heimermann - J.P. Morgan: Okay. I guess moving on and maybe this is for Ralph. Just on the program manager business, given that you're saying professional lines and the D&O E&O professional lines operations are running at an underrate process. The question I have is is 5% rate enough in that book to actually drive improvement, or is the improvement more going to come in that segment just from the fact that the work comp property or property D&O is just going to become a bigger portion of it and kind of a mix is what's going to get you there rather than necessarily big improvement on the stuff that's problematic today?
Ralph E. Jones III: Well, the mix comes automatically really by the process right - think of it that way. Most of the rate increases that we're really getting traction on have been in the California comp during the last six months, so we're seeing good traction there, we're happy with the prices, that book will maybe grow modestly. On a general liability programs we have two big ones, you know we're having a harder time getting traction because the program managers are losing renewals when we push for the requisite rate increase. So naturally that will kind of be a smaller portion of the book over time. So it's kind of a natural selection process, really. On the other direct business which again is not through program managers, we kind of control our own destiny to a greater degree and we're happier with that and you know we can get to the (inaudible) in March more clearly in those areas and that's happening in two or three good pockets where we see opportunity so that will just naturally become a larger component of the insurance segment over time. I'm happy with the eight program managers that we have. They are doing the job, it is starting to take shape. It hasn't performed to the degree that we would have liked in the past and you know, we're going to fix that.
Dominic J. Addesso: Let me add to that that Ralph noted a minimum of 5% so clearly we're hoping and are certainly going to push for more than 5%. now we're not sure what we can actually achieve given the market place. If it doesn't change all that much it's going to be difficult to achieve a big number. But we will push and get what we can get. But the other form of attack was the expense ratio. We're going to look to take that down a bit as well. 
Matthew Heimermann - J.P. Morgan: Okay, that's helpful. And then just one – sorry to take so much time but when you talk about premiums for next year in the renewals that went on, was that adjusting for FX or was that before contemplating the effect of FX?
Ralph E. Jones III: That was not contemplating anything for FX. 
Matthew Heimermann - J.P. Morgan: Okay, much appreciate it. Thanks.
Operator: (Operator's Instructions) And it looks like we have no more questions at this time. 
Elizabeth B. Farrell: Okay, thank you. If certainly anybody has questions offline please feel free to call me, I do appreciate everybody's participation this afternoon. Thank you. 